Disclaimer*: This transcript is designed to be used alongside the freely available audio recording on this page. Timestamps within the transcript are designed to help you navigate the audio should the corresponding text be unclear. The machine-assisted output provided is partly edited and is designed as a guide.:
Operator: 00:06 Good day, ladies and gentlemen, and welcome to the TechPrecision Corporation Fiscal twenty twenty two Second Quarter Financial Results. At this time, all participants have been placed on listen-only mode, and the floor will be open for questions and comments after the presentation. 00:20 It is now my pleasure to turn the floor over to your host, Brett Maas with Hayden IR. Brett, the floor yours.
Brett Maas: 00:29 Thank you. On the call today is Alex Shen, Chief Executive Officer; and Tom Sammons, Chief Financial Officer. Before we begin, I'd like to remind our listeners that management's remarks may contain forward-looking statements, which are subject to risks, uncertainties, and management may make additional forward-looking statements in response to your questions. 00:41 Therefore, the company claims the protection of the safe harbor forward-looking statements as contained in the Private Securities Litigation Reform Act of nineteen ninety five. Actual results may differ from those discussed today, and therefore, we refer you to a more detailed discussion of risks and uncertainties in the company's financial filings with the SEC. 00:58 In addition, projections as to the company's future performance represents management's estimates as of today, December seven, twenty twenty one. TechPrecision assumes no obligation to revise or update these forward-looking statements. Furthermore, the results presented during this conference call and in our press release issued today are preliminary and subject to revision until the company files its Quarterly Report on Form 10-Q for the fiscal quarter ended September thirty, twenty twenty one. 01:21 With that out of the way, I’d like to turn the call over to Alex Shen, Chief Executive Officer, to provide opening remarks. Alex?
Alex Shen: 01:27 Brett, thank you. Good day, everyone, and thank you for joining us. Our preliminary financial results for the second quarter of fiscal twenty twenty two include thirty six days of activity from our newly acquired subsidiary STADCO. As we began to integrate the STADCO operations, we recognized additional revenue and cost of goods sold and added to our selling, general and administrative and interest expense. 02:05 Our sales order backlog totals twenty six point four million dollars at September thirty, twenty twenty one, which includes STADCO backlog. Since the end of the second quarter, we have booked over thirteen million dollars in new orders. We continue to see strong opportunities for both Ranor and STADCO. We have started the post-acquisition turnaround of STADCO. Key personnel, and assets remained in place. We believe business prospects are good and we expect to see continued revenue growth. Our STADCO focus is on the future. 02:57 And now, I'd like to turn the call over to our CFO, Tom Sammons to continue with the review of our preliminary fiscal twenty twenty two second quarter results. Tom?
Tom Sammons: 03:11 Thank you, Alex. Our preliminary net sales for the second quarter of fiscal year twenty twenty two were four point eight million dollars, which included STADCO revenue for the period post-acquisition, compared to four point seven million dollars in the same quarter year ago. Cost of sales were three point nine million dollars, or eight percent higher when compared to the same quarter year ago, resulting in a gross profit of nineteen point four percent in the second quarter of fiscal twenty twenty two, compared to a gross profit of twenty three point nine percent in the same quarter a year ago, primarily due to higher rate and absorbed labor and overhead costs and lower margins on certain projects. 03:54 SG& A expense decreased by approximately four hundred and seventy eight thousand dollars primarily due to the addition of STADCO SG&A expense plus approximately two hundred and thirty four thousand dollars of additional cost incurred in connection with the STADCO acquisition. 04:12 Interest expense increased by about five thousand dollars compared to the second quarter a year ago, we expect higher interest cost as we move forward with higher debt levels in fiscal twenty twenty two. As a result of the above, we recorded a net loss of two hundred and twenty thousand dollars in the fiscal twenty twenty two second quarter compared with net income of two hundred and seventy one thousand in the same quarter a year ago. 04:42 Net sales for the six months ended September thirty, twenty twenty one, which included STADCO revenue for the post-acquisition period were eight point two million dollars or about three percent higher than the same period last year. Gross profit for the six months ended September thirty, twenty twenty one was down slightly to twenty one point five percent from twenty two point eight percent in the same period a year ago. As was the case for their second quarter, SG&A expense increased by four hundred and seventeen thousand dollars, as we incurred cost in connection with the STADCO acquisition plus the additional STADCO SG&A expense. 05:22 Interest expense was lower year-over-year, but we expect to see an increase in interest expense as we move forward due to higher average debt levels in fiscal twenty twenty two. For the six months ended, we recorded net income of one point two million as we realized a one-time non-taxable gain from the forgiveness of our one point three million dollar PPP loan in May of twenty twenty one. We used one point one million dollars of cash in operating activities through September thirty, twenty twenty one compared to an operating cash outflow of seven hundred and forty thousand dollars during the same period a year ago. 06:00 Our total debt was seven point two million dollars at September thirty, twenty twenty one were three point four million dollars higher than reported on March thirty one, twenty twenty one. We also added six million in new assets and liabilities in connection with the amended lease for the STADCO building and property. 06:20 Cash balance at September thirty, twenty twenty one was two hundred and eighty one thousand dollars compared to two point one million dollars at March thirty one, twenty twenty one. Working capital decreased by one point two million dollars since March thirty one, twenty twenty one and five point two million dollars to four point zero million dollars as an increase in current liabilities more than offset our increase in current assets. 06:42 With that, I will now turn the call back over to Alex.
Alex Shen: 06:47 Thank you, Tom. A few more words about our STADCO acquisition before we take questions. STADCO sells to a blue-chip customer base that includes some of the largest OEMs and prime contractors in the defense and aerospace industries. STADCO is a key supplier of large flight critical components on several high profile, commercial and military aircraft programs. STADCO also provides tooling, customized moulds, fixtures, jigs and dice used in the production of aircraft components. 07:26 I'd like to rehighlight some flight capable high profile programs with Sikorsky. STADCO has a long history of making critical high precision parts for the defense and civil aviation industry, national labs, various weapons programs and space flight. It continues to do so. It has been a prime supplier of parts. For the Sikorsky, CH-53 helicopter for over forty five years, and continues to be a supplier of critical parts for the current CH-53E model and the new CH-53K, King Stallion heavy lift helicopter. 08:18 Sikorsky, on October twenty twenty announced that it will build six additional production CH-53K King Stallion helicopters under a new contract for the U.S. Navy. The aircraft will further support the U.S. Marine in its mission to conduct expeditionary heavy lift assault transport of armored vehicles, equipment and personnel to support distributed operations deep inland from a sea-based center of operations. These six helicopters are part of a two hundred unit aircraft program of record for the U.S. Marine Corps. 09:11 Their addition makes a total of twenty four CH-53K production aircraft now under contract. Under the terms of this most recent contract, known as low rate initial production, Lot 4 - Sikorsky will begin delivery of the six aircraft in January twenty twenty four. This two hundred aircraft program of record does not include an expected order from Israel. Does not include a possible order from Germany or any other export orders. Production at Sikorsky is expected to increase to as many as twenty four CH-53K helicopters per year over the next several years. 10:05 I'll talk a little bit more about Sikorsky on June twenty five, twenty twenty one. The U.S. Navy awarded Sikorsky a contract to build nine more CH-53K King Stallion helicopters. The Lot 5 contract includes nine helicopters for a value of eight hundred and seventy eight million dollars, and an option for a Lot 6 contract worth eight hundred and fifty two million dollars for nine more helicopters. The Lot 5 low-rate initial production contract increases the number of CH-53Ks on contract to thirty three. The Lot 5 aircraft are to be delivered in twenty twenty four. 10:56 Finally, a reminder again that we do most of our work in industries that are highly sensitive to confidentiality, which preclude us from speaking publicly about many things that a accompany not operating in these fields might discuss. As such, there are real limits as to what I can discuss and so sometimes those limits change. Please understand that my saying that I am not allowed to discuss that is based on customer requirements and the environment in which we conduct business. 11:35 As a final note, the results presented during today's conference call and in our press release issued today are preliminary and subject to revision until the company files its quarterly report on Form 10-Q for the fiscal quarter ended September thirty, twenty twenty one. 12:00 Operator, we can start the Q&A.
Operator: 12:04 Certainly, ladies and gentlemen, the floor is now open for questions. [Operator Instructions] And we did have a few questions come in. The first question is coming from Aaron Warwick from Breakout Investors. Aaron your line is live.
Aaron Warwick: 12:41 Good afternoon, gentlemen. Thank you for the update. Was hoping that you could give some clarity about the backlog, the twenty six point four million dollars I think it was. How much of that is Ranor and how much of that is from STADCO?
Alex Shen: 12:59 We're not breaking that down at this point. We're going to stick with reporting at a consolidated level for both companies.
Aaron Warwick: 13:09 Okay. And is that true then also for the orders that you mentioned thirteen million dollars are you able to break that out at all?
Tom Sammons: 13:18 Yes.
Aaron Warwick: 13:23 Okay. I have no further questions.
Alex Shen: 13:25 Okay.
Operator: 13:28 Thank you. The next question is coming from Robert [indiscernible] Investments. Robert your line is live.
Unidentified Analyst: 13:38 Okay. Hello guys and congratulations on the thirteen million dollars in new orders. Couple of questions about some financial statement items. You've got the current portion of long-term debt almost three point eight million dollars has any of that been refinanced since September thirty?
Alex Shen: 14:03 No. We have our mortgages due in December. So that's been a five year loan and that is why the long-term debt is, I mean, the short-term debt is higher.
Unidentified Analyst: 14:19 And what's the plan for that? Is it going to be refinanced or you are going to draw some more debt to pay that off or?
Alex Shen: 14:28 Looking to refinance.
Unidentified Analyst: 14:31 Okay. Good. And just one other question. The prior period information presented like the prior year income statement balance sheet that hasn't been revised to include STADCO has it?
Alex Shen: 14:50 No, that's that precision.
Unidentified Analyst: 14:53 Yes. Okay. Very good. Okay. Well, that is all my questions. Thank you.
Alex Shen: 14:58 Thank you.
Operator: 15:02 Thank you. The next question is coming from Ross Taylor from ARS Partner -- Investment Partners. Ross, your line is live.
Ross Taylor: 15:10 Thank you. First, congratulations on closing the deal. Also, congratulations on the significant backlog you guys have built up both through the quarter and since the quarter. At this point in time, I saw that the Israeli government committee approved the purchase of fifteen of the CH-53K and that's working through its budget, if you were to get those -- do you have any, when those come through rather do you have any idea on kind of timing and where they fit into the production line?
Alex Shen: 15:47 I don't have access to that information right now.
Ross Taylor: 15:51 Okay. Second, I saw that Sikorsky has removed the production of the UH-60 Blackhawk models from its Connecticut plant and is devoting that plant entirely to the CH-53K, so obviously they're expecting a significant ramp in production out of there. Have you at this point seen anything from them or they talk to all about the need to be able to ramp up production to the targeted twenty four a year?
Alex Shen: 16:25 Well, that's what I alluded to when I sort of repeated myself a little bit, but the production at Sikorsky is expected to increase to as many as twenty four CH-53K helicopters per year.
Ross Taylor: 16:41 The way you're stock…
Alex Shen: 16:42 To be right in line with, what you're saying?
Ross Taylor: 16:47 Yes. I do think sometimes the way the stock trades being slightly misdirected it's little hard on people things like they clearly need to be building things directly. So, looking at that that piece of information, obviously, we're going to build out looks like they put nine into the budget this year, but I understand that likely before the end of the calendar year, they will have decided on when they'll move to full run rate production from what I've been reading and what I’ve been called, if they move to full run rate production, which is twenty four a year to a month. Do you need to do anything additional? Do you need to add any capital expenditures to meet with that need?
Alex Shen: 17:37 Well, if it gets there and we -- I don't have the visibility exactly. Will we need more equipment, will we need more people? Yes. So, that's the direct answer to your question.
Ross Taylor: 17:58 Okay. Great. And you did -- I'm sure you saw that they actually did conduct week or two ago, heavy lift tolling (ph) off of a helicopter landing ship carrying light armored vehicles to [indiscernible] vehicle, over two hundred and twenty [indiscernible] miles into say marine operations demonstrating the capabilities of the CH-53, which was in touch with that, I understand, I think it's four times the less capacity of the CH-53 the delta significant improvement at this point in time. Looking at the budget, it looks like right now that we're seeing in the F-15E, they're looking for I believe twelve this year. Are any of those aircraft in your backlog at this point in time?
Alex Shen: 18:55 I'm not going to be able to comment on that one.
Ross Taylor: 18:57 Okay. Have you heard any talk about the fact that the Canadians were looking for a fight and they narrowed it down to the F-35 and the Griffin (ph) and what I'm told that not there was really a satisfactory answer for them and there's some thought that they might be looking to bring the F-15EX into the hunt for that? Have you heard any talk about that?
Alex Shen: 19:22 I have the same access that you do to public information.
Ross Taylor: 19:26 Okay. So, looking at this set up, obviously we're -- you really transform the company with this move, I’d like to congratulate you for that. I think it's really, it's I mean, we're the cusp something really exciting and looks like the backlog, it's nice to see a real meaningful number in that backlog for the first time in sometimes. Also, with regard to the submarine side, have you seen any of the navy as looking at reducing meaningfully, it's number of -- it’s going to drop late twenty.
Alex Shen: 20:03 Can you get closer to the mic, it's dropping a little bit.
Ross Taylor: 20:07 Certainly, the navy is looking at, needing to is going to drop the four Ohio-class wally boats that they have that I think our one hundred and fifty six launch [indiscernible] in aggregate. Do you believe when this happens, do you think that I mean we've seen this is going to put more pressure on them as these keep up not up to build rate on the class boats? So, have you heard talk about the idea that them rolling in the late twenty’s into three both of the year from current two projections.
Alex Shen: 20:46 I hear a lot of things, but I'm not going to be able to comment on this one.
Ross Taylor: 20:50 Okay. Cool.
Alex Shen: 20:52 I'm sorry. I just -- I’m not restricted on this.
Ross Taylor: 20:57 It's all right. Sometimes saying nothing says a lot. And lastly, with the fact that it's been talked about a lot of the equipment that's used out in California its similar the same as the equipment that used in Massachusetts. Would it be possible with Sikorsky being located so close to your Massachusetts facility? Down the road somewhere would it be possible for you to fill orders for that -- for Sikorsky business out of the Massachusetts facility or Ranor facility?
Alex Shen: 21:34 Would it be possible, while I want to rule out the possibility?
Ross Taylor: 21:44 Okay. As I think…
Alex Shen: 21:45 Right now, I think the key here is STADCO is a turnaround. So, our focus is to get the ship rated. And not so much try to see if Sikorsky wants to shift production out of California into Ranor. I don't think we want to promote those ideas at this point.
Ross Taylor: 22:10 Okay. So, pretend I did say that. And lastly, you say it's to get their ship right. Do you have any concerns about them as an operating business or the issues there largely enhancement up?
Alex Shen: 22:26 Do I have any -- you're dropping again, Ross? Did you say, do I have any concerns?
Ross Taylor: 22:31 Yes, operating concerns about them.
Alex Shen: 22:35 Well, I think we made the acquisition with our eyes wide open. It is a turnaround. It takes heavy lifting. We're doing the heavy lifting. We started that. Key assets are in place. Key personnel are in place. We're going to move forward carefully and manage every detail carefully.
Ross Taylor: 22:59 Okay. Well, thank you, as I said, I think this acquisition is really transformational. I don't think the equity market quite understands how transformational it is. Like I don't -- I wouldn’t say I don't think they understand that. I think it's clear they don't understand how transformational it is, but congratulations on getting it across the goal line and congratulations on the way it's set up to play out for you.
Alex Shen: 23:22 Thank you very much.
Operator: 23:25 Thank you. [Operator Instructions] The next question is coming from Andrew Shapiro from Lawndale Capital Management. Andrew your line is live.
Andrew Shapiro: 23:40 Hi. Thank you. Can you hear me, okay?
Alex Shen: 23:42 Yes, we can.
Andrew Shapiro: 23:46 Okay. Is the human resources question, as a federal contractor and all other -- there's been a pretty laser being focused by the administration and elsewhere at least until perhaps legal injunctions have come about mandating one hundred percent Vac-ed rate and all that, which as you need to hire people and also maintain your staffing to achieve your production turnover and everything else is not a good thing. 24:22 Do you have a handle on what percent of your staff that needs to be Vac-ed, (ph) is already Vac-ed and how much more you guys have to go and when you acquired STADCO, if that posed any additional issues?
Tom Sammons: 24:43 All we can say right now is that we encourage our employees to get vaccinated. We try to support them in that effort. And we are watching the regulations and any kind of past downs that we get from customers. We're watching them closely and just trying to keep an eye on it and make sure that we don't disrupt our production.
Alex Shen: 25:09 I can tell you that Tom and I are fully vaccinated.
Andrew Shapiro: 25:13 Well, you're not on the production line. I know you're pretty essential employees, but we want to be able to produce the book our revenue. [Multiple Speakers] But the point I want to get at is, if the mandates are upheld there and if there is a mandate, do you guys have a hurdle to overcome here in terms of either hiring new -- bunch of new staff, are you going to be faced with some turnover or are your workforce is fairly amenable to satisfy any mandate?
Alex Shen: 25:58 Well, as Tom said, the mandates keep changing. And the landscape keeps changing and we're keeping a very, very close track on the changes. These slowdowns from our different customers are different as well and we're keeping very close paths on those as well.
Andrew Shapiro: 26:18 Okay. That might have been three comments I might have.
Alex Shen: 26:20 I think we have a handle on it.
Andrew Shapiro: 26:24 Okay.
Alex Shen: 26:24 Look I don't think we're going to be able to answer your question as to tell you what percent are vaccinated. Those are dipping into areas where we're not going to be able to answer those private questions.
Tom Sammons: 26:38 But the mandate, we think we've been to work.
Alex Shen: 26:43 But the mandates are not clear right now. So, it’s’ very different -- it's a question that causes speculation. Do we think we have a handle on it? Well, we've had a handle on it so far through all of COVID. And not only are we surviving with thriving?
Andrew Shapiro: 27:02 Right. But if there is…
Alex Shen: 27:03 That we can handle it.
Andrew Shapiro: 27:06 Okay. Well, I just would hate to get a quarterly report saying well, we didn't achieve, but what we wanted to achieve because we had a substantial turnover because of mandates. And that is a risk from an investment point of view, I just wanted to handle on and not unpleasant surprise.
Alex Shen: 27:27 Sure. We don't look to have no unpleasant surprise and that's what we're working too.
Andrew Shapiro: 27:33 Great.
Alex Shen: 27:34 We're all in new territory here with this COVID thing, not one business is unaffected. But I think we can tell you with clear functions, we believe we have a handle on it.
Andrew Shapiro: 27:47 Great. Thank you.
Alex Shen: 27:48 Very close track on all the details as they transform sometimes, they transform several times a day. We're right in the thick of it. We're not just reading about it.
Andrew Shapiro: 28:04 Thank you.
Alex Shen: 28:06 Thank you.
Operator: 28:07 Thank you. And the next question is coming from Kris Tuttle from SoundView. Kris, your line is live.
Kris Tuttle: 28:16 Great. Thanks for taking my question. I think I understand your plans and the turnaround and the opportunity from these existing programs to drive the business. My question is, how do you think about or how should investors be thinking about additional programs outside of the one that you and STADCO are already involved in, in terms of driving future growth, is that not on the table right now, something we should be looking for a year from now, sort of how does that fit into the company's current strategy and our expectations?
Alex Shen: 28:58 So the current set of customers have an enormous overwhelmingly enormous number of opportunities for two little companies that are both small businesses. Even if you combine them, there's still a small business.
Kris Tuttle: 29:18 Okay.
Alex Shen: 29:19 Trying to diversify when the opportunities are huge with current customers. Not so sure about them. But of course, opportunistically we would not be saying no to any new customers that would be foolish and we will keep our eyes open. If it's a true opportunity, we'll pursue.
Kris Tuttle: 29:48 Can you give me a feel for how you think about the word enormous? It means different things to different people.
Alex Shen: 29:57 A thousands of orders of magnitude that cannot be overcome by, we're tiny and our customers are giant.
Kris Tuttle: 30:12 I mean, is that is huge just ten million dollars, one hundred million dollars, five hundred billion dollars, a billion like what's…
Alex Shen: 30:20 Yes. It depends. But those numbers are very big.
Kris Tuttle: 30:30 Okay. All right. I turnaround around absolutely. No additional segments required for you guys to fully -- for your plans to bear fruit. That's helpful for me. Thank you.
Alex Shen: 30:45 Great. Thank you.
Operator: 30:48 Thank you. And we had another question come in from Aaron Warwick from Breakout Investors. Aaron, your line is live.
Aaron Warwick: 30:57 Hey. Thanks again guys. I wanted to go back to the thirteen million dollars in orders. Would it be fair to characterize that a material amount of that was related to submarine work?
Tom Sammons: 31:08 I think you're trying to -- have us break it up, but ask the question a different way.
Aaron Warwick: 31:18 No. I'm just asking a way that maybe you could answer. That's all. I'm not obviously not trying to trick you. How can slip anything past by you on that? In terms of those orders, the thirteen million dollars over what timeline line are you expecting to recognize revenue from that?
Tom Sammons: 31:43 Over one time. I think it's safe to say it's over two years yes.
Aaron Warwick: 31:45 Okay. Thank you, guys. Appreciate it.
Tom Sammons: 31:52 Thank you.
Operator: 31:55 Thank you. And we have a follow-up coming from Ross Taylor from ARS Investments. Ross, your line is live.
Ross Taylor: 32:03 Thank you. A couple of quick questions. Are you doing work in any way with someone rate or others in hypersonic missiles?
Alex Shen: 32:17 Ross, you're always trying to pinpoint me on things that you probably know that I can't really comment on.
Ross Taylor: 32:26 You can only not comment on them if you're doing something therefore.
Alex Shen: 32:33 You are correct.
Ross Taylor: 32:35 You are correct. Okay. Thank you very much. Second, similar with Lockheed, Lockheed is supposedly working on perhaps has developed in new advanced fighter aircraft. Some people believe they actually have something in limited production. What kind of work are you doing with Lockheed? Are you doing work with Lockheed at this point in time?
Alex Shen: 32:59 Are we dealing with Lockheed at this point in time, yes. We're doing work with Lockheed at this point in time.
Ross Taylor: 33:05 Are you doing work with what's known as there's [indiscernible] operation?
Alex Shen: 33:13 I didn't hear you. Sorry. Can you repeat that please?
Ross Taylor: 33:16 Are you doing -- as the work you're doing with Lockheed being done with what's known as their [indiscernible] works?
Tom Sammons: 33:25 Well, probably since it's [indiscernible] works, I shouldn't comment if it [Multiple Speakers].
Ross Taylor: 33:33 Okay. No, I'm just trying to make [Multiple Speakers]
Tom Sammons: 33:38 I couldn't comment, if I wasn't I probably shouldn't comment either.
Ross Taylor: 33:43 I think there are lot of people who actually don't do a lot of work on your company and therefore in our business, my business, a lot of people relay on other people telling and what was supposed to think. Lastly, with regard to space, are you doing work right now with anyone on the IDM reusable space capsules and there's a thought that there's is an effort to build a system that can basically go into lower, but and fly from London to Sydney or other places in a few hours? Does anyone you're working with any of your customers looking at that type of project that type of work?
Alex Shen: 34:28 I think we're certainly open to those types of customers. I can tell you that.
Ross Taylor: 34:36 Okay. But as I said, I think there's really a lot of really exciting things. And as I said, this acquisition and this deal to me is -- to say its game changing, and I'm excited for you guys to get your teeth into it and to get your operational hands on their business and to push forward because it looks like money is starting to pre up. As the last question is, have you been able to get an idea in order of magnitude how much drag has been induced by the lack of a defense budget.
Alex Shen: 35:20 How do I answer this? I don't think I know how to answer this.
Ross Taylor: 35:28 Big in their bed box.
Alex Shen: 35:30 Well, I also think that -- I also think that our ability to secure new orders probably says we're doing well regardless of the perceived drag budgeting concerns can cause.
Ross Taylor: 35:51 Yeah. I actually have to say, I'm very impressed given the fact that we've been operating under a continuing resolution and like that you've been able to develop the business way you have. 36:03 Okay. Well, I think as I said, I think it's great, congratulations and I'll let you go on the next question.
Alex Shen: 36:09 Ross, thank you very much for bringing that point out. I think that's a very fairly end endpoint.
Ross Taylor: 36:16 Thank you.
Alex Shen: 36:17 And the performance in spite of perceived drag. Thank you very much.
Ross Taylor: 36:21 Thank you.
Operator: 36:25 Thank you. And there were no other questions in queue at this time.
Alex Shen: 36:30 Thank you, everyone. Have a great day.
Operator: 36:36 Thank you, ladies and gentlemen. This does conclude today's conference. You may disconnect at this time and have a wonderful day. Thank you for your participation.